Operator: Good day, ladies and gentlemen and welcome to the II-VI Incorporated Fiscal Year 2015 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct the question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference Mary Jane Raymond, Chief Financial Officer. Ma'am, please begin.
Mary Jane Raymond: Thank you, Liz, and good morning. I am Mary Jane Raymond, the Chief Financial Officer here at II-VI Incorporated. Welcome to our third quarter earnings call for fiscal year 2015. With me today on the call is Francis Kramer, our Chairman and Chief Executive Officer and Dr. Chuck Mattera, our President and Chief Operating Officer. As a reminder, this call is recorded on Tuesday, April 28, 2015. Any forward-looking statements we may make during this teleconference are given in the context of today only. We do not undertake any obligation to update these statements to reflect events subsequent to today. With that, I’ll turn it over to Fran Kramer.
Francis Kramer: Thank you, Mary Jane and thank you everyone for joining us. We had a solid quarter. Revenues of $182.7 million grew 5% over the third quarter of last year and 3% sequentially. All growth this quarter was organic. EPS was $0.23 inclusive of $0.015 negative effects as well as restructuring cost. The Laser Solutions segment revenues of $73.3 million grew 16% compared to the third quarter of FY14. The operating margin was 19.2% compared to 6.3% in the third quarter of fiscal year ’14. And the Photonics segment revenues of $64.3 million grew 10% compared to the third quarter of fiscal year ’14 and the operating margin was nine-tenth of a percent compared to three-tenth of a percent in the third quarter of FY14 and includes the cost of restructuring actions including the consolidation of certain facilities which will continue to help the margins improve in fiscal year ’16. In the Performance Products segment revenues were $45.1 million and declined 6% sequentially and 13% compared to the third quarter of ’14. This was primarily due to lower demand in both the military and the semiconductor capital equipment markets. As a result the operating margin of 6.7% is lower than the first half of fiscal year ’15 which averaged 8.4%. However, we are continuing to have very good structure interactions, in fact the book-to-bill revenue ratio in this segment was 1.13 for the quarter. Amid a number of crosscurrents, we made a lot of progress this quarter especially in Laser Solutions, where many of our new products gained share and our existing products continued to make meaningful contributions. Across the company, our people are all engaged in the continuous improvement plans to increase our momentum and as we monitor worldwide activity for signs of economic volatility and currency movement, so we can react accordingly. I’ll now turn the call over to Chuck to discuss some operating highlights.
Chuck Mattera: Thank you, Fran. In the Laser Solutions segment, the sequential revenue increased 8% from Q2 to Q3. While there is some seasonal inventory replenishment in these results, the real progress following a strong Q2 was due to very good execution by our operating teams to satisfy the growing demand for product throughout the segment. We believe that CO2 laser utilization in the North American market remained strong in Q3. While we are aware that the growth in new high power CO2 laser deployments continued to be impacted by the adoption of the fiber laser, the utilization of the high power CO2 laser install base remained solid worldwide and in addition low power applications continue to grow. For example, low power CO2 laser optics revenue increased 13% over Q3 of FY14. We had strong growth in the quarter for fiber laser welding heads and other high power products for automotive applications. High power fiber laser cutting applications also continue to drive demand for HIGHYAG products. In addition, we experienced continued strong demand for our industry-leading high power laser optics products for extreme ultraviolet or EUV applications. We are encouraged by the industry news of a recent order for 15 EUV systems and look forward to continued growth from this market segment. In Europe, Q3 bookings and revenues increased from Q2. Demand for our CO2 laser aftermarket products were strong throughout the region and our EUV customer continues to take as much product as we can currently deliver. Turning to Asia, the material processing market continues to be a growth area for us in Japan, China and Korea. China is moving the fastest towards the adoption of fiber laser technology. We are fielding increased inquiries around the low cost and low power optics and are adding capacity to address additional demand from the region. We are committed to further increase in our market share in the lower power market which is heavily weighted in China. There is strong competition there too and so we are adding resources in the region to better service our customers. Laser diode shipments continue to be strong and margins have increased for both our high power laser diode assemblies, as well as our high volume components largely VCSELs. Several next-generation laser diode products are in the various stages of development and qualification that target near-term and longer term growth opportunities. We have started an aggressive plan to add capacity, retool our manufacturing lines through increased automation and increase our yields and bring critical processes in-house where we can control the quality and cost structure. Across the company our operations in both Laser Solutions and Photonics are driving our growing position in the one micron laser and related products for industrial materials processing applications. Revenues in Q3 were a record and up over 10% sequentially and up nearly 50% over Q3 FY14. In our Photonics segment sequential revenue growth was 6%. During the quarter we experienced increased demand for optical filters for datacenter and life science applications. Market demand was also strong for our optical communications components and modules for CATV networks as well as for our high reliability pump lasers for submarine networks. However, we continue to experience softer than anticipated demand in amplifiers for optical transmission systems due to delays in new network deployments by our main customers. At the annual OFC conference in March we demonstrated multiple new platforms with a particular focus on applications for the high growth 100G coherent transceiver market such as tunable filtering and compact amplification. The value of these unique solutions enabled by our unmatched vertical integration was recognized by multi Tier 1 customers and carriers. We continue to invest in key products to support the ever-growing bandwidth trends in datacenter and cloud applications including the development of 40G and 100G transceivers. In order to better serve our key customers, increase our global market share in critical growing segments and to further improve our competiveness and profitability we have streamlined resources and operations in our Optical Communications Group. Mary Jane will discuss this derivative in her section. Our dedicated and focused efforts on our key customer engagement programs over the past 18 months has resulted in increased RFIs and RFQs and associated design-in activities. New product sales from these programs are expected to phase-in gradually over the next 12 months. Finally in our Performance Products segment we saw sequential bookings and revenue declines of 4% and 6% respectively. The reduction in bookings in this segment was primarily driven by delays of legacy military programs and technical challenges on new programs in our Military business. The decline follows a quarter where military bookings were up sequentially, but still reflects that defense spending on products in our portfolio remained flat and difficult to forecast. However, most of the FY15 delayed military bookings are expected to be recovered in Q4 with only some programs shifting to the next fiscal year. While military bookings were down in Q3 we did receive additional orders in March for sapphire windows for F-35 Joint Strike Fighter, with a requirement of accelerated deliveries over the next fiscal year. Elsewhere in the Performance Products segment advanced materials bookings were up significantly for our high quality silicon carbide substrates due to continued strong demand in the RF and power electronic device markets, the RF product increase is being driven by demand from the continuing growth of 4G wireless base stations deployments around the world and demand is also growing for our 150 millimeter substrates at power electronic device OEMs who are planning to migrate to 150 millimeter platforms. Additionally in our silicon carbide ceramic business we experienced a sharp increase in orders for semiconductor capital equipment applications. We are expecting the semiconductor demand to continue to improve as we move into FY16. I will now turn it over to Mary Jane who will walk us through a review of our overall financial performance, Mary Jane?
Mary Jane Raymond: Thanks Chuck and Fran. Our third quarter book-to-bill ratio was 1.07 and that reflects a new backlog record of $241 million. This compares to last quarter’s backlog of 228 million. This $241 million consist of $72 million in Laser Solutions, 62 million in Photonics and 107 million in Performance Products. The currency effect on our revenue was almost $5 million. The euro falling nearly 12% from December 31st and growth in our businesses at HIGHYAG in Berlin and Laser Enterprise in Zurich, both of which have euro-based revenues, really changed the profile of our currency exposure in Q3. The effects were more muted on the EPS since nearly all of HIGHYAG’s costs are in euros and we have reduced the exposure on the intercompany short-term loans since the beginning of this fiscal year. Despite the currency effects on revenue, the gross margin of 36% improved 450 basis points compared to the third quarter of last fiscal year. The year-over-year margin increase is all operating improvements particularly in Laser Solutions. The operating margin of 9.7% improved 470 basis points compared to last year’s quarter. This is also the result of operating improvements with the majority of the progress in Laser Solutions. For example, at Laser Enterprise, last year’s acquisition, the fab is increasing its yield and output partially from increased demand for pumps in Photonics and is generating materially improved margins as a result. The adjusted EBITDA margin percentage of 15.8% which excludes the 7.6 million of income from the settlement we discussed last quarter, improved 220 basis points over the year ago quarter. The material difference between the improvements in the operating margin and those in the EBITDA margin is found in the non-operating expenses this quarter. EBITDA margin includes 1.9 million for trade name write-offs in our Photonics units, $600,000 negative currency effect from balance sheet items and $400,000 for vesting in stock for employees who reached the age of 65. The trade name investing are one-time items and the effect the EBITDA margin about 125 basis points. With the negative one-time items included this margin maybe a little bit challenged on the 250 basis point improvement. But nonetheless the operating margin which does not include these continues to do very-very well. The trade name is part of a larger set of restructuring actions we took this quarter totaling $3.2 million all included in the results. One set of actions is for the consolidation of our military focused operations into the California location. We incurred $340,000 this quarter primarily for people and equipment transfers. In the first half of fiscal year ’15, we incurred $380,000 which was primarily for severance. The other set of actions is for the Optical Communications Group in Photonics, where we’re streamlining the number of locations and aligning similar types of work together. The total charge this quarter for OCG was $2.9 million, the largest component of which was this 1.9 million write-offs of the intangible asset that was recorded for these trade names Aegis and AOFR, while we still leverage those good technologies, we no longer use the trade names. We also incurred $250,000 for severance this quarter and $700,000 for other asset write-offs with no charges in the first-half of fiscal year ’15 for these OCG actions. Just to finish on restructuring, in the fourth quarter our outlook includes costs of $2.4 million. For OCG, we expect to record between $600,000 and $700,000 for severance and 1.2 million in lease terminations and other costs. For the Military focused operations, we expect to record $600,000 in the fourth quarter for the completion of the move to California. Turning to EPS, the EPS in this quarter was $0.23 and includes the effects of currency restructuring and the trade name write-off. The EPS year-to-date is $0.67 without the $0.11 of the favorable settlement we discussed last quarter, and at $0.67 had already surpassed the EPS of last year of $0.60 for the whole of fiscal year ’14. Turning to our cash and capital expenditures, our cash flow from operations was $36 million this quarter compared to $30 million for Q3 of last year. Year-to-date cash flow from operations is 86 million, compared to $59 million last year year-to-date. We pay down $2.4 million of our debt this quarter, bringing our debt level to $188 million. With 155 million in cash, our net debt position is $33 million net debt. A reduction from 57 million net debt last quarter. We repurchased $1.4 million of stock or about 82,000 shares for an average price of 17.60. Our share buyback year-to-date is $12.7 million, compared to 11 million year-to-date this time in fiscal year ’14. We invested $8.6 million in capital equipment this quarter. We expect to invest about $45 million all together for fiscal year ’15 on CapEx not including the $13 million for the purchase of the building in Germany during the first quarter. Our equity-based compensation in the quarter was 3.6 million. For the full year, we expect the equity base compensation to be 12 million to 13 million. Our year-to-date effective tax rate was 13.6. We had about 1.5 million in a FIN 48 release this quarter. We expect the year's tax rate to be between 14% and 16%. This range compares to last year’s rate of 16% which also benefitted from the R&D tax credit. Turning to our revenue outlook for Q4, we expect revenue to range from $185 million to $193 million. This compares to 187.9 million for Q4 of fiscal year ’14. Our EPS is expected to range from $0.20 to $0.24 per share inclusive of 2.4 million in restructuring and that compares to $0.20 per share in Q4 for fiscal year ’14. This is all of prevailing exchange rates. Our forecast internally anticipates the exchange rates for the Swiss franc, the yen, the RMB and the euro to be stable at the end of the third quarter, to the level at the end of the third quarter. Before we open the line for questions, our fourth quarter earnings release date is slated for Tuesday, August 4, 2015. This concludes the prepared remarks and as we turn to the Q&A I’ll just remind you that our answers to your questions make contain certain forward-looking statements, which are based on our knowledge today and for which actual results may differ materially, so with that, Liz, if you would like to open the line.
Operator: [Operator Instructions] Our first question comes from the line of Jim Ricchiuti with Needham & Company. Your line is now open. Please go ahead.
Jim Ricchiuti: Just a question on the consolidation of the facility in Florida into California, where are you now on that? When do you anticipate that being completed?
Mary Jane Raymond: So the military actions, to consolidate the facilities actually began in the first quarter. We always expected the second half to be the more material part of the charge with respect to movements and equipment. So as I mentioned we had about $300,000 in change of restructure in this quarter and we’ll have in the neighborhood of 600. So I’d say we have begun the move and we’ll then begin to settle the things in place move the final things get them up and qualified in the fourth quarter.
Jim Ricchiuti: And so as we look out to the September quarter, you should be fully operational there?
Francis Kramer: I think we will be 80%-90% operational. We will try to get it all done in June but there will be some little lags that will come in July. So we’ll have some first quarter, but not a big deal.
Mary Jane Raymond: Yes, I think the main things that will happen into the first fiscal quarter are product qualifications, the things in the new location.
Jim Ricchiuti: Okay. And just if I could switch gears for a second, it looks like within laser solutions, you are seeing very good business overall in HIGHYAG, as well as, it sounds like, in parts of the CO2 business. I wonder if you can comment just in general about your fiber exposure with HIGHYAG.
Mary Jane Raymond: So I think as we mentioned I think we are making very good progress on the HIGHYAG acquisition. They have had really since the fourth quarter of 2014 year increasingly improved quotes. We continue as Chuck said we continue to see that business growing sequentially. We see it growing quickly year-over-year. The team is not only very engaged, they’ve done a very good job as Chuck mentioned last quarter but I think increasing their yield, increasing their market penetration, increasing their reach outside of Germany all around I think we consider that position that we are building in the aggregate one micron business both from HIGHYAG and other parts of the company is actually good and growing. Do you want to add anything Chuck?
Chuck Mattera: I’d say that we’re aligned with the all of the key OEMs in our addressable markets and the interest there is now also spilling over into China. But I’d say our demand and the enthusiasm for our products remains high.
Jim Ricchiuti: What is this business growing at? Can you say?
Mary Jane Raymond: Well, I think Chuck did say…
Jim Ricchiuti: I may have missed it I apologize.
Mary Jane Raymond: No, no don’t it’s really fine.
Chuck Mattera: I think, Mary Jane if I could, I think maybe a better way because we like to keep it up at the segment level as much as we can but I think we were addressing the question that we have received last call, which was, how much of our total company revenues that are focused on one-micron, on high power one-micron laser market for industrial materials processing. And I made some comment today on the call about how that business has grown I could add to it and just in turn give you a feel for it today that’s roughly 15% to 20% of our total sales across the company or into this one-micron high power laser market.
Jim Ricchiuti: And then, presumably, a year ago it was a good deal lower. Is that -- I’m trying to get a sense -- it sounds like this is becoming a bigger part of the business?
Chuck Mattera: I gave a reference point Jim in my prepared comments that compared to the third quarter of fiscal year ’14 that those revenues have increased by about 55%.
Jim Ricchiuti: Yes, yes okay.
Mary Jane Raymond: And about 10% sequentially.
Jim Ricchiuti: Yes got it, okay thank you very much.
Mary Jane Raymond: Before we take the next question, let me just correct one thing I have said I had talked about the debt, I think paid down at 2.4 in fact obviously as many of you already detected, we paid down $24.5 million of our debt in third quarter, so sorry. There you go.
Operator: Our next question comes from the line of Mark Douglass with Longbow Research. Your line is now open.
Mark Douglass: Fran, I may have missed it -- well, I probably did miss it -- on some of your discussion of Performance Products. It's nice to see the book-to-bill still high, but bookings and sales keep trending lower. I think you said some of the softening is because of -- a lot of it is in defense. Could you just go into that a little bit more?
Francis Kramer: I made a comment that if with the military and semiconductor capital equipment markets both are -- have been slower in the quarter. Book-to-bill is 1.13, however we have a few good news things certainly and I think Chuck mentioned at this quarter we took a little late in the quarter, Joint Strike Fighter additional add-ons there which was good. And we have a couple of others that look promising here coming in the first quarter. So, military is doing just as we said it's been delaying and we keep on it the semiconductor equipment business is at a down point right now and that net debt is forecast to gradually come back. But it won’t be heavy in the first quarter.
Mark Douglass: When you look at your semi-cap equipment business, does it lead or lag some of the more visible data, like the semi data, by a quarter or two, or by a few months? Or how can we think about your semi-cap equipment business relative to some of the larger data that's available?
Chuck Mattera: Mark this is Chuck Mattera. Yes, I would say that this is a relatively new business for us, we’ve been watching it for a couple of years we’re getting to know the marketplace better. We are paying a lot of attention exactly to that kind of an insight or an insight that could be delayed from that. I would say based on the latest sets of SIA book-to-bill results that are published every quarter, it would appear to me that we maybe lagging one to two quarters. That is a current view and you go to remember that that market is a huge market. And we have very important niches in that market, maybe that’s about all I could say.
Mark Douglass: And then looking at Photonics, still struggling on the margin line, what's necessary -- what has to continue to move forward to get at, say, mid-single-digit-type margin level? Is it really a volume effect at this point? Or what kind of steps of vertical integration are still required to get Photonics up and moving?
Mary Jane Raymond: Well first of all let's be clear in the company like ours that’s vertically integrated volume always matters. So that certainly helps, I mean I would say that probably the biggest challenge that we are now tackling very aggressively and I would say that the team has been tackling for over the last year is really dealing with the little bit more far-flung nature of the places in which the product development is done and also the manufacturing footprint around the world. So the consolidation actions that we took was more vigor this last quarter are really designed to bring the product development team to some more products in closer proximity, to really look at the list of new products that we are working on and be sure that we’re really optimizing the resources in the right place to maximize those the time to market advantage as well as, where we think we have a competitive advantage. And finally from a location point of view, just really looking at the number of places out we are doing things to be sure that we’re not loosing time and efficiency just in the communication around the world. I think that the Photonics team has worked very-very hard on this and I think that as we continue to improve including, improving the efficiency in the fab in Zurich that has the potential to have synergistic effects as well on the Photonics team as we go into next year.
Chuck Mattera: Yes, Mark I just said what Mary Jane had to say and certainly it has to do with pricing and as we fight to raise prices we run the risk of losing volume and you have to know that that’s going on because of the difficulty in that business is how do you get the margins up quickly, volumes doesn’t arrive so we have had and we are continuing to work on the pricing. We will miss an order or two that we counted on because of that that might as well the rate at which we can increase our volume, but that’s our strategy.
Mark Douglass: Okay. Part of your strategy, too was being seemingly more vertically integrated in that division, particularly the telecom side, right, so you could actually see improved pricing. Is that still a ways off?
Chuck Mattera: No, we’re still working at it but say that we’ve realized those synergies to the extent we’ve expected not yet because it’s a long pipeline to get our own components in and approved before we’ve been really start to produce in volume. So we’re in the pipeline of trying to move our components in but it’s a little longer than you might thing.
Mark Douglass: So another at least year, maybe two years?
Chuck Mattera: Well I wouldn’t go as long as two years but -- we’re trying to set up different facilities so the move from where we’ve been to other facilities it takes time and then qualification as the new facility so it’s lengthy.
Mark Douglass: Okay. And then final question on your high-powered diodes out of Zurich are you seeing orders outpacing sales? Is it still growing nicely?
Chuck Mattera: I think it’s growing nicely but I wouldn’t say orders are outpacing sales. We have capacity to do this little gain that we’ve had in this past quarter and we can take time to more gains and we do have our fab, as we call it in Zurich drives and produces not just for the HPLs but also for the 980 pumps and so on. So our capacity is nicely utilized. We can handle more but we’re kind of monitoring that too because every time we have to ramp-up a little bit. We haven’t taken steps back but we’re leery of that.
Mark Douglass: Okay. So most of the strong demand you spoke about in your one-micron high-powered fiber is driven by HIGHYAG?
Chuck Mattera: No, we have them in the semiconductor laser side also.
Francis Kramer: Mark, it’s made up primarily of HIGHYAG products. A chunk of the laser enterprise business and also from our Photop business inside the photonic segment -- and also in infrared optics as well, we have suite of high-powered one-micron components, even from the infrared optics. So we’re adjusting it -- the bulk of it was a high HIGHYAG Laser Enterprise and the Photop.
Mary Jane Raymond: I think Mark, your question is also really around book-to-bill in the Laser Enterprise Group I mean it continues to be good I mean I think we’re doing actually the team there is doing a very-very good job on the yield and the output to meet the demand and that’s obviously martially up since last year. So it has not reached the point, I think as Fran was asking, that the orders are so outpacing what we can do not at that point certainly but the best news is over this last year we’re gaining customers but have been lost in the prior year and being able to serve them.
Operator: [Operator Instructions] Our next question comes from the line of Ted Moreau with Barrington Research. Your line is now open.
Ted Moreau: Thanks and congrats on another solid quarter, guys. Just kind of wanted to follow-up on a couple of previous questions, can you remind us on the -- where you had the semiconductor capital equipment exposure? I know on the laser side, you are tied into the EUV programs. But then what kind of exposure do you have on the Performance Products Group? Is it more like front-end, 16-nanometer, 14-nanometer type of leading edge node equipment? Or is it elsewhere within the semiconductor equipment space if you could comment on that?
Chuck Mattera: Okay Ted, this is Chuck Mattera. For sure EUV is a good place to start. It’s an important place to start for us. And next is -- and for EUV we’re making at least four different components for EUV and we’re providing them through the infrared optics business as well as the M Cubed business in our advanced products group. At M Cubed they are also making precision ceramic components for wafer stages, wafer tables, electrostatic chucks, and defectors for the back end and there the normal ebb and flow for the existing products in the market place and growth in those products is what is pulling us along in that segment. Finally in our military materials business part of our strategy to diversify and to leverage the competencies that we’ve developed in precision optical assemblies that over the years in that group we are also leveraging highly opportunities for that exist today for precision metrology equipment including for existing 300 millimeter and the future 450 millimeter applications and we just close on that in our Photop group, Photop are also the key supplier to the semiconductor capital neurology equipment makers that are the leading makers in the world.
Ted Moreau: So given the EUV announcement last week, is there any way to get a feel for the magnitude of how it could impact you guys from a revenue perspective and what the timeframe could be of that?
Francis Kramer: That’s pretty hard for us to flow down, you know how there has been such a start and stop on an EUV and in the time and the delay, but we really probably shouldn’t try to speculate on that at this moment, but it is more of a news of that online in the next two, three quarters we’ll share and submit it, but we can say we’re well tuned in on the EUV machine itself and just what Chuck said, greater components the three or four that we make is critical to the machine.
Ted Moreau: And then one final question, and then I'll switch gears. But is it primarily -- your EUV exposure primarily one player? Or are there other players in that market that you are benefiting from?
Francis Kramer: Well mostly from one that is for sure, everybody knows that leader and we do have some frontend tools people that we supply to and then another person in the bigger space.
Ted Moreau: So then on the Photonics group -- I've been under the impression that one of the drivers of possible margin expansion there is pending the introduction of several new products, but I may not have caught it here. Is that still a significant driver for margin improvement? And if so, could you give us a timeframe on when you believe you'll be introducing these new products?
Chuck Mattera: Ted, this is Chuck. For sure new products are a wide part of the business and that’s both for a sustained revenue growth as well as for profit improvement. And at OFC, I think that you maybe more aware and saw a suite of new products which I referred to today including our OCDR modules that performed optical time domain reflectometer measurements in both central office and outside plant allowing carriers to reduce OpEx and bring up advance networks reliably and we should start to generate revenue from prototypes in this current quarter, and we expect the production revenue would begin to kick in by the end of the first-half of next year. And as an example that would be I would expect in FY16 it would be low single-digit million dollars of opportunity. On tunable optical filters that we talk about this is a very compact. In fact it's the smallest tunable optical filter in the market it dramatically reduces the noise from erbium-doped fiber amplifiers that is the amplified spontaneous emission noise. These products or these tunable optical filters will be used in CFP2 100G transceivers. Lead customers have already designed them in and qualified. We expect one of the prototype revenue in the next couple of months and again we might expect by maybe in the second half of ’16 to be on a low single-digit millions in the year run rate. Regarding our high power pump lasers, we will be launching in a couple of weeks that means next month, the industry’s leading one watt 980] laser which has the lower power assumption, the highest power of output and we expect that EDFA manufacturers will be quite interested in designing those in. We expect with even though we watch at beginning sometime in May FY16 again low single-digit millions of sales in ’16. We demonstrated the new nano amplifier platform for next-generation optical amplifiers. That platform that you probably saw it or see generated a lot interest and a lot enthusiasm by both OEMs and some carriers. That's a platform. The products we built based off of that platform that we’ll not be able to generate revenue in ’16, but we expect the revenue will come in ’17 based on core completion of the platform getting it ready to manufacture. So I try to give you a sense for some of the things that are happening of course, in our existing optical communications business, new products with new specs are high-density array iridium-filled fiber amplifiers and the like -- these are considered and expected by our customers to be rolling as part of the price we’re keeping the revenue where it is at and being able to grow it. So it's a kind of replacement as well as growth if you will. I don’t like as you feel Ted.
Ted Moreau: So final question, Mary Jane, just wondering if you could provide us an update -- are you keeping margin targets that you have previously disclosed for fiscal 2016?
Mary Jane Raymond: It has been put for a while I think we may take the bottom end down a little bit just overlap more with the end of the ’15 range but having said that we continue to have improvement on margins that an important part of our ongoing strategy.
Ted Moreau: Okay. And by taking down the lower end just a little bit, is that partially because of the currency issues that are out there? Or is it not really related to that?
Mary Jane Raymond: It is partially because of the currency. On the last call when we talked about currency I said that’s not really a huge exposure for us and it historically has not been but some of our most recent acquisitions that are also doing beautifully and adding to our product portfolio going forward do have more euro-based revenue and we’re doing as I say has changed the margin profile. So the currency is the main driver, yes.
Operator: We have a follow-up question from the line of Jim Ricchiuti, Needham & Company. Your line is now open.
Jim Ricchiuti: You gave some color on bookings in Europe being up. I wondered if you could just talk in terms of what you are seeing in the various geographies, just from a demand standpoint.
Chuck Mattera: Jim, are you talking about the whole company or you’re talking about…?
Jim Ricchiuti: Just in general, Chuck, yes. Just because you guys are so diverse, and you’ve got exposure across so many different markets -- this is more of, I guess, a question from a macro standpoint of what you are seeing out there. And if you want to tie it into any specific vertical markets -- but you mentioned that Europe was strong from bookings, where was that being driven from, primarily the industrial area?
Chuck Mattera: Yes.
Mary Jane Raymond: The comment Chuck made was in Laser Solutions but…
Chuck Mattera: I can take a we certainly don’t have a report today with our revenues broken out by regions but just qualitatively I could take a shot at it…
Jim Ricchiuti: That would be helpful, yes.
Chuck Mattera: And Mary Jane would like to. I would say that U.S. we have for our broad industrial base it has a feeling of being strong. And so I would say U.S. strong bookings for the business I would say in Europe as I already mentioned strong, not exact distributor but it seems as a lower euro may be make some products more competitive in Asia and that’s exactly be part of what we’re seeing but for sure there is strength in Europe, and Japan is strong and I would say that’s broadly across the company and virtually in all markets that we’re playing in here industrial, communications, semiconductor, capital equipment. And in China, China is an interesting place I would simply say that both from the communications from the industrial market that we have already reported, the fiber laser market is seems to be continued super hot even though there maybe some indications of it being a little less hot than it was 12 months ago this seems to be on every corner somebody else turning up with either a fiber laser or it’s a direct laser business and with the team that we have based there, we’re pretty efficient at tracking and addressing the needs.
Jim Ricchiuti: Great. That’s helpful. Thank you.
Francis Kramer: I’d only add one more comment to it, it’s not a big deal but certainly in our wide bandgap materials group a big portion of our business right now is headed into Japan and that business feeds the base station business which is seems to be going some build out in China, so nice business for us right now.
Operator: Our next question comes from the line of Zachary Rodenbough with Sidoti. Your line is now open.
Zachary Rodenbough: I just have a question about the dynamics of the laser solutions operating margins. You might have mentioned this already, so sorry if I am repeating it. But you have mentioned increasing pricing competition for the fiber products, specifically in China; but you’ve continued to grow margins up near 20% in this segment. Are these levels -- are you seeing these levels as being sustainable to the laser solutions group? I guess my real question: are you expecting cost reductions here for these products to kind of continue to outstrip these pricing pressures?
Francis Kramer: It’s a tricky question and our answer is because we’ve changed our product mix when we started with that business. We have had a product we called a BMU that was built into some custom solutions and now we’ve gone more toward a standard products and the standard product -- it is going to be better for us. We won’t be adding different batches of production that we had. But that’s there and at the same time the foundry that we operate or the fab that we operate is we are getting more volume, it does generate a better margin and we expect that will continue.
Zachary Rodenbough: Okay. And that wasn’t very committal to any number. Thank you.
Operator: We have a follow-up question from the line of Ted Moreau with Barrington Research. Your line is now open.
Ted Moreau: Just a quick question on the wireless base station business, you mentioned or referenced it's doing pretty well in China. Are you shipping to China, or are the products going into wireless networks that are based in China? And then just kind of curious -- is this a new program, and that's why it's doing well for you? Because it seems like some of the wireless infrastructure suppliers out there have been reporting kind of soft numbers. So if you could just touch on that.
Francis Kramer: Yes I think I will take that, our silicon carbide substrates enable high performance, high frequency, high power, high reliability, gallium-nitride-based HEMT devices. Those devices go head-to-head with silicon LDMOS in this wireless base station market and they have a value proposition which is allowing as our understanding of the market dynamic through reading of industry reports. Our understanding it is a value proposition for price and performance while allowing the wide bandgap electronics to penetrate the existing market which is growing. But our understanding is that wide bandgap electronics are penetrating the market and growing considerably faster than the SAM is growing. So it's kind of we believe that our customers are in a position to be taking clear from legacy technology LDMOS. That’s one theme, the other theme is 4G wireless base station growth continues and China is a hot market for it, but there are other markets that are expected to follow in that growth. Our understanding again from industry reports is that we could expect both India, Africa and even Latin America in the next couple of three years to follow at a similar trend.
Ted Moreau: And so then your customers are based in China, or your customers are…
Francis Kramer: Our customers in China.
Ted Moreau: So -- and network deployments are in China. Okay. Got it. Thank you so much.
Operator: I am showing no further questions on the phone line at this time. I’d like to turn the call back to Mary Jane Raymond, Chief Financial Officer for closing remarks.
Mary Jane Raymond: All right, thank you very much for joining us today. I’ll just give it to Fran for closing comments.
Francis Kramer: Well, thank you everybody for joining us and we look forward to meeting again at the end of next quarter which will be the end of our year, which we will complete a very good year we expect. Thanks.
Mary Jane Raymond: Thanks again, bye-bye.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. And you may now disconnect. Everyone have a great day.